Operator: [Call Starts Abruptly] Will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today Wednesday, August 01, 2018. And I would now like to turn the conference over to Mr. David Humphrey, Vice President of Investor Relations. Please go ahead sir.
David Humphrey: Welcome to the ArcBest, Second Quarter 2018 Earnings Conference Call. Our presentation this morning will be done by Ms. Judy R. McReynolds, Chairman, President and Chief Executive Officer of ArcBest; and Mr. David R. Cobb, Vice President, Chief Financial Officer of ArcBest. Today following Judy and David's opening remarks about the second quarter results, I will conduct a question-and-answer period with them by reading submitted questions that we received last night following our earnings release. We appreciate the questions that we received and we will try to answer as many as we can during the remaining time of this call. We also thank you for joining us. In order to help you better understand ArcBest and its results, some forward-looking statements could be made during this call. As we all know, forward-looking statements by their very nature are subject to uncertainties and risk. For a more complete discussion of factors that could affect the company’s future results, please refer to the forward-looking statements section of the company’s earnings press release and the company’s most recent SEC public filings. In order to provide meaningful comparisons, certain information discussed in this conference call includes non-GAAP financial measures as outlined and described in the tables in our earnings press release. We will now begin with Judy.
Judy McReynolds: Thank you David and good morning everyone. In yesterday afternoons earnings Press Release we reported a strong second quarter, following the solid performance in the beginning of the year as demand in the shipping and logistics market remain quite robust and customers increasingly turn to our integrated supply chain solutions. On a non-GAAP basis, our earnings per share doubled in the second quarter. Revenue was at record levels, pricing was strong and our freight mix improved in our LTL business, offsetting a decline in shipment levels and flat tonnage. During this tight industry period, we are helping our customers navigate the capacity crunch they are experiencing with a variety of assured capacity sources from the assets we own in our LTL network, to the broad network of trusted partners we utilize in our other logistics offering. As customers supply chains become increasingly complex and our capabilities have grown, we've experienced increases in the number of accounts we are managing. When we are fully engaged in every aspect of the customer's business requirements, we can deliver the solutions they need, including capacity choice. With our approach, we help our customers meet the changing demands of their business, while reducing their overall costs. Our managed solutions offerings represent a unique value in the marketplace. With the finalization of our five year agreements with the International Brotherhood of Teamsters following ratification of all supplements, we are well positioned for stability and continue delivery of an excellent customer experience, while keeping costs manageable. And now I’ll discuss more details about our service offerings. The strong freight environment benefited our asset base business providing continued support to our yield management actions as we executed on operational initiatives that resulted in revenue growth and improved profitability. The ongoing positive pricing market is demonstrating itself in several ways. We continue to be favorably impacted by the progress we are making on applying our CMC space-based pricing program to more qualifying shipments and customer accounts. The profitability of those density dominant shipments where CMC was applied has significantly increased; that's contributing to overall profit improvements ABF has experienced. The general rate increase we implemented beginning early in the second quarter was successful and its retention continues at high levels. Renewal rate on the deferred and contract pricing agreements that were negotiated during the quarter were solid, and are another contributing factor to our recent strong financial results. We've been successful in adding business at better margins while much of the business we've lost was operating at lower profitability levels. In the midst of strong market demand for transportation services, the ArcBest sales team is focused on profitably growing our business with new and existing customers in order to increase revenue and shipments and to identify cross selling opportunities throughout ArcBest. David will provide specific details on our yield management metrics later in the call. So ABF’s tonnage and shipments statistics remain below last year's second quarter. They trended more positively throughout each month of the recent quarter. For the first month in over a year, year-over-year total tonnage per day was positive in June. Throughout the second quarter, high capacity in the transportation marketplace offered ABF opportunities to handle stock loaded [ph] truck load rated shipments when it was helpful from an operational standpoint. The rates on these loads benefited our bottom line, while the additional shipments and tonnage positively impacted our business trends and helped increase average weight per shipment. Because the shipments are generally transactional in nature and can impact the service we provide to our LTL customer base, throughout the quarter we manage the level of these shipments on a weekly basis. ABF diligent management of costs was an important contributor to the positive operating results in the second quarter. Lower shipment and tonnage levels often present a challenge in managing operational resources and its recent period has been no exception. However, the ABF team has done a good job of efficiently matching system resources with available freight levels. Productivity metrics associated with shipment pickup and delivery in the city, as well as freight handling and loading on the dock are at or above prior year levels. We continue to benefit from the new equipment we have placed throughout the ABF system. Maintenance and repair costs are trending lower and total fuel costs are up because of significant increases in fuel prices. The improved fuel economy of the new tractors is reducing how much fuel we are using. In addition, the city trailers we've added in recent years combined with our focus on equipment utilization resulted in significant second quarter decreases in local city rentals and their associated costs. During the recent quarter we did increase our usage of rail and truck load purchase transportation and local cartage in an effort to manage system resources while speaking to maintain customer service levels. In the current environment of tight industry capacity and rising fuel expense, the cost of these alternative capacity options are higher, but were carefully managed in order to maximize profitability. I am very pleased with the positive balance between yield management and cost control that ABF successfully achieved during the second quarter. As we've seen during previous quarters, double digit revenue growth in the ArcBest Asset-Light was the result of higher revenue per shipments coming from strong market rate. In the tight truckload market, we continue to be challenged in securing equipment capacity at compensatory rate levels that allow us to maintain acceptable profit levels. In spite of a decline in total Asset-Light shipments and net revenue margins, higher net revenue per shipment contributed to an increase in total net revenues. On a sequential basis, net revenue margin was slightly better than it was in the first quarter. Changes in Asset-Light customer mix resulted in reductions in total shipment as we received fewer average total shipments from some customers. In the current market environment the difficulties of adequately matching customer loads with available and reasonably priced equipment capacity has resulted in the need for dedicating additional labor and other internal resources to load matching. In order to sustain our high level of customer service, we've maintained our Asset-Light labor levels during this period of shipment reduction. Asset-Light operating income has also been impacted by some non-operational factors that David Cobb will talk about later in the call. Our expedite business contributed record levels of second quarter revenue and net revenue as the current market environment places high value on our expertise to meeting stringent service windows and challenging shipper requirements on these kinds of loads. Also, as I mentioned in my introductory comments, our managed transportation business is starting to solidify and resonate with customers. As we saw in the second quarter, growth in this element of our Asset-Light services was a positive contributor to net revenue growth. FleetNet’s second quarter revenue improvement was the result of double digit growth in events over last year's second quarter and an increase in average repair cost per event. The resulting increase in net revenue, combined with good control of labor and other related expenses contributed to the 38% increase in operating income. And now I'll turn it over to David Cobb for a discussion of earnings results and operating statistics.
David Cobb : Thank you Judy and good morning everyone. Let me begin with some consolidated information. Second quarter 2018 consolidated revenues were $793 million compared to $720 million from last year’s second quarter, a per day increase of 9.3%. On a GAAP basis, we had second quarter 2018 net income of $0.05 per diluted share, which includes the impact of the New England multiemployer pension withdrawal compared to net income of $0.60 per share of last year. As detailed in the GAAP to non-GAAP reconciliation table in yesterday afternoon’s earnings press release, adjusted second quarter 2018 net income was $1.12 per diluted share compared to $0.56 in the same period of 2017. As previously announced, ABF Freight’s multiemployer pension plan obligation with the New England Teamsters and Trucking Industry Pension Fund will be restructured effective today; the restructuring results in ABF Freight’s withdrawal as a participating employer in the New England Funds thus triggering our payment of a free negotiated withdrawal liability. In addition, ABF is reentering the fund as a new participating employer, free from any pre-existing withdrawal liability and at a lower future contribution rate. Our second quarter financials include a one-time pretax charge of $38 million or $28 million and a $1.5 per share after tax to record the pension liability. This obligation is being settled through an additional lump sum cash payment of $15 million, plus monthly interest prepayment for the fund over a period of 23 years that have an aggregate present value of approximately $23 million. These payments are tax deductible when we pay them, reducing our after tax cost. The benefits of this transaction, including the reduction of ABFs withdrawal liability for this fund, improvement in the New England funds current financial position, additional security to the ABF employees and rely on the New England plan for retirement benefit, and the reduction of ABF future contributions from the fund without a corresponding decrease in the benefits payable to participating ABF employees. Excluding the one-time charge we took in the second quarter, we project operating income improvement of approximately $2 million during the first 12 months of the agreement. However, because the obligation was recorded at present value, interest expense will be recognized over time. Our second quarter 2018 income before tax included a $1.8 million charge or $1.3 million after tax and $0.05 preshare related to our non-union pension plan, including settlement expense. The second quarter of 2017 included a similar charge of $600,000 pretax, approximately $400,000 after tax and $0.01 per share. Pension expense, including settlement charges for third quarter of 2018 is currently estimated to be approximately $2 million pre-tax or $1.5 million after-tax. But as a reminder, due to the termination of the plan, we estimate cash funding of approximately $2 million and a pre-tax settlement termination charge of approximately $20 million which may occur during 2018, but that depends on timing of review by the internal revenue service. Our second quarter 2018 operating income included an adjustment of $300,000 pretax or $0.01 per share after tax related to our enhanced market approach. These charges were comparable with the amounts in the first quarter of 2017. We currently expect to incur approximately $1 million of total restructuring costs in 2018 related to this organization realignment. In this year’s second quarter the loss reported in other and eliminations line was $5 million, which included a majority of the $300,000 restructuring cost I just mentioned. The other in the eliminations line includes expenses related to investments for improving the delivery of services to ArcBest customers, as well as investments in comprehensive transportation and logistics services offered across the multiple operating segments. Also as we have previously discussed, certain investments in ArcBest technology and innovations are included here. In the third quarter, we expect a loss in this line to approximately $5 million and for all of 2018 we expect the loss in this line to total approximately $20 million. Interest expense net of interest income was $1.3 million in the second quarter. We expect the third quarter 2018 net interest expense to be approximately $1.5 million. This is higher than the recent quarter due to slight increases in interest rates, interest accretion on the New England Pension obligation that was just mentioned and the timing of financing some remaining purchase equipment. The majority of which is expected to be received in the third quarter. Full year 2018 interest expense net of interest income is estimated to total approximately $6 million. As we have previously discussed, changes in cash surrender value of lift insurance are reported in the other net line of our income statement, of which we had income of $820,000 in the second quarter of 2018 compared to income of $407,000 in the second quarter of 2017. We exclude changes in cash surrender value representing non-GAAP net income and earnings per share. As we reported in the first quarter, the other net line of our income statement now includes some components of the net periodic benefit costs related to non-pension and other non-union postretirement benefits. As a reminder, the service cost component of these plans continues to be included in operating expenses, while the other cost components of these plans has totaled $2.1 million pre-tax in the second quarter of 2018 and $1 million pre-tax in the second quarter of 2017, appear in the other net line of our income statement. In our 2018 financial statements, we have reclassified the 2017 amount to conform the current year presentation. Our second quarter effective tax rate was a high benefit rate, primarily due to the reduction in GAAP pretax income associated with the effects of the New England multiemployer pension withdrawal. We currently expect our full year 2018 GAAP tax rate to be in the approximate range of 20% to 25%, while the effective rate in any quarter maybe impacted by items discreet to that period. The tax rate reconciliation on page nine of our earnings release table shows the year-to-date non-GAAP effective tax rate of approximately 27%, which is what we would generally expect on normalized earnings. We ended the second quarter with unrestricted cash and short-term investments of $227 million. Combined with the available resources under our credit revolver and our receivable securitization agreement, our total liquidity currently equals $420 million. Our total debt at the end of the year of $250 million includes the $70 million balance in our credit revolver, the $45 million borrowed on the receivable securitization and $135 million of notes payable, primarily on equipment for our asset-based operations. The composite interest rate on all of our debt is 3.0%. Full details of our GAAP cash flow were included in our earnings press release. Asset based second quarter revenue was $559 million, a per day increase of 7.8% compared to last year. We had 64 working days in second quarter of 2018 compared to 63.5 working days in last year’s second quarter. Asset-based quarterly tonnage per day declined 0.9% versus last year’s second quarter. For second quarter 2018 bi-month, asset-based daily tonnage versus the same period last year decreased in April by 3.8%, decreased 0.9% in May and increased 2.3% in June. Second quarter total shipments per day decreased 6.1% compared to last year’s second quarter. Second quarter tonnage and shipment declines were the continued result of the yield management initiatives implemented throughout the last 18 months that included the space-based pricing program introduced a year ago. Total asset-based weight per shipment was 1,294 pounds, a 5.5% increase from last year’s second quarter and a slight increase of 0.8% on a sequential basis compared to the first quarter of 2018. LTL weight per shipment increased 3.8% versus last year. Average length of haul on asset-based shipments was 1,048 miles, a 1% increase over second quarter 2017 and a 1.3% sequential increase over the first quarter 2018. Second quarter total billed revenue per hundredweight on asset-based shipments was $33.73, an increase of 9.4% compared to the second quarter of last year. Year-over-year comparisons of this yield figure were positively impacted by improved price levels and higher fuel surcharge, which offset some downward pressure from the increase in weight pre shipment. On a sequential basis, this yield metric increased 5.1%. Excluding fuel surcharge, the year-over-year increase in second quarter billed revenue per hundredweight on asset-based LTL freight was in the high single-digits. We secured an average 4.5% increase on asset-based customer contract renewals and deferred pricing agreements negotiated during the quarter. As presented in the operating segment data included in the earnings press release, second 2018 expense for asset based shared services increased by approximately $10 million over second quarter 2017. We recall that our investment in corporate structure unified our sales, pricing, customer service, marketing and capacity souring functions and those costs are included in the shared services line. Approximately half of the second quarter year-over-year increase in this asset base expense line is associated with employee retirement costs, including higher expenses in the long term incentive plans driven by shareholder returns relative to our peers. The remaining increase in shared services costs associated with increased advertising line of investments to improve the customer experience. Earlier Judy mentioned the finalization of ABF rates and the new five year labor agreement, the combined contractual wage and benefit rate, including the ratification bonus and additional vacation time increases approximately 2% from the compound annual basis throughout the contract period. The additional weak of vacations been expensed as it is earned for anniversary dates that began on or after April 1, 2018. Ratification bonus is being expensed over the 63 month contract beginning April 1, 2018. Because the implementation date is retroactive to April 1 the second quarter 2018 included additional costs for these items, which equaled approximately $1 million. In total, our Asset-Light businesses had revenue of $247 million, a daily increase of 15% over last year’s second quarter. Second quarter Asset-Light operating income totaled $4.7 million compared to last year’s operating income of $6.7 million. On an adjusted basis, second quarter Asset-Light operating income was $4.9 million compared to $6.7 million last year. Adjusted year-to-date 2018 Asset-Light EBITDA was $17.1 million compared to adjusted EBITDA of $16.7 million in the first six months of 2017. Second quarter ArcBest Asset-Light revenue per shipment increased by 16%, but we handled 6% pure Asset-Light shipments. You will recall that in December 2017 ArcBest finalized a transaction that resulted in our complete exit from the Asset-Light military moving business. Last year during the seasonally busier time, this military moving business generated approximately $800,000 of net revenue for us in the second quarter, and $900,000 of net revenue in the third quarter of 2017 compared to having no net revenue from this business in 2018. Also in September 2016 we completed a transaction that enhanced ArcBest dedicated truck load service offerings. As we approach the second anniversary of that acquisition that included a three year earn out agreement, we reported additional experience to adjust our financial obligations under that earn out agreement. Our recent second quarter Asset-Light results were impacted by approximately $400,000 related to this expense. In the third quarter we expect the additional expense to be approximately $400,000. These two items should be considered when we are doing year-over-year comparisons of Asset-Light second quarter financial results. Similar to what I previously mentioned regarding asset base shared service experience changes, second quarter 2018 experience for ArcBest Asset-Light share services increased by approximately $3 million over second quarter of 2017. This is related to investments we have made in technology and personnel associated with managed transportation solutions and maintaining customer service. In addition, improvement on our enterprise shareholder returns relative to our peers and the exit cost of our long term incentive plan. Preliminary asset-based financial metrics and business trends for the month of July 2018 versus July of 2017 are as follows: Daily billed revenue increase approximately 12%. Total tonnage per day increased approximately 1% with reductions in LTL tonnage related to our ongoing yield management initiatives and changes in account mix, offset by July year-on-year growth in our asset-based truckload rated business, reflecting strength in our U-Pack household goods moving business. The LTL sequential monthly tonnage change in July was consistent with historical trends for years with similar calendars. Daily shipment counts decreased approximately 5%. Total billed revenue per hundredweight increased approximately 11%. It was positively affected by affected by yield initiatives and higher fuel surcharges. Total billed revenue per shipment increased approximately 18%. Total weight per shipment increased approximately 7%. In recent years the historical average sequential change in ArcBest asset-based operating ratio in the third quarter versus the second quarter has been roughly flat. ABF Freight expects to take delivery of the large majority of its new 2018 trackers in the third quarter versus those delivers occurring more evenly between the second and third quarters in recent years, thus impacting third quarter equipment depreciation cost. The asset-based segments third quarter results in ’17 versus the second quarter of ’17 benefited from the effects of our space-based pricing initiatives in an agreement with a new healthcare partner, both of which occurred in early August last year. Those positive sequential effects will not occur this year. We will have 63 working days in the third quarter of 2018, which is one day less than this year's second quarter. The impact of these factors could cause a sequential operating ratio change to be different than the historical range. I also wanted to remind you about the wage and health welfare and pension increases in our new labor agreement. The July 1 wage increase will be approximately 1.2% in the combined August 1 health welfare and pension increases will be approximately 2.2%. And as I mentioned earlier union-vacation has been expensed as it earned and the ratification bonus is been expensed over the life of the contract. In the third quarter we estimate the additional costs for these items to be approximately $1.9 million. For the ArcBest Asset-Light segment in July versus last year, not including FleetNet, revenue per day increased approximately 1% versus the same period in 2017, positively impacted by higher revenue per shipment. However, ArcBest is experiencing year-over-year shipment declines and net revenue compression associated with rising purchase transportation cost and the challenges of adequately passing those costs on to our customers. The revenue comparison and the shipment decline in July is primarily driven by the effect of the sale with military moving business in December 2017 as previously mentioned in the handling of a larger preposition of U-Pack leading shipments within the Asset-Based network. Now I’ll turn it over to Judy for some closing comments.
Judy McReynolds: Thanks David. Before concluding with my usual company and employee highlights, I would like to thank our ABF negotiating team who worked very hard for months on securing our five year agreement with the Teamsters. This process is never easy and I'm proud of our team from reaching an agreement that is fair for employees and affordable for the company. I would also like to thank our Teamsters employees, as well as the rest of our employees for remaining focused on our customers as this process was under way. Now for the quarterly company highlights: In May we were pleased to once again be included in Transport Topics list of Top Freight Brokerage Firms of 2018 coming in at number 18. Also in May we announced that we had moved up 11 slots on the Fortune 1000 list in 2018 to number 763. In June 5 of our ABF service centers received the President's Quality Award for their achievements in 2017. Those were La Crosse, Wisconsin; Brockton Massachusetts; Carlisle Pennsylvania; Evansville, Indiana and Quebec, Canada. We have relied on our quality process since 1984, to ensure we meet and exceed our customers’ expectations. To wrap up today, I’ll add that we are excited to see the work we’ve done to position ArcBest as an integrated logistics company with creative problem solvers produce such solid results, underpinned by some of the best conditions we have seen in the industry for years. In looking at the future, the indicators we study and the overall operating environment points the strength for the rest of the year. Against this backdrop, we will continue working on the many initiatives underway to grow ArcBest for our customers, our employees and our shareholders. And now I'll turn it over to David to conduct our question-and-answer session.
Q - David Humphrey : Thank you, Judy. We will now begin our Q&A session. First of all, let me note that we have several questions that were directly addressed in our opening remarks, so I won’t read those questions now. Our first question comes from Will Milby with Seaport Global who asked, has there been a fundamental operational change between 2018 and 2017 or are those beats a function of the pricing changes that have been underway. Is freight mix a strong contributor to recent performance. And then Dave Ross with Stifel asked a similar question. Why did asset based salaries, wages and benefits as a percentage of revenue improve 450 basis points year-over-year?
Judy McReynolds : Well David, our pricing initiatives, including our August 1, 2017 CMC space-based pricing program have played a strong role in our improvement. But our operations team has also done a good job of matching our resources, including labor to the level of shipments we have in our network. The collaborative approach of our sales, pricing and operations teams really played a role in the improvement and they should be acknowledged. Also, I just mentioned that our space-based pricing program has resulted in an improved freight net.
David Humphrey : Dave Ross asks, has the industry experienced any significant spillover volumes from the Truckload Carriers and then Chris Wetherbee of Citi asks, are these larger transactional shipments accretive to asset based margins?
David Cobb : David, I'll take that one. We can't speak for the industry, but we have seen this affect our tonnage numbers for some time. We handled some additional spot quoted truckload rated shipments that was helpful from an operational standpoint. Market pricing for these shipments was also a favorable factor impacting our quarterly results. But because these shipments are generally transactional in nature as Judy mentioned earlier, they can impact the service we provide to our LTL customer base, and so throughout the quarter we managed and leveled these shipments on a weekly basis.
David Humphrey : Okay. The next question comes from Will Milby. Can you compare way your network is set up to other LTL carriers? Is there anything about how you are setup or the routes you choose that contributes to recent OR improvements.
Judy McReynolds: Thanks David for the question. We believe that our network really effectively serves our customers who have both regional and national needs and that we’re able to do that through one network. We really don't have any comment about the networks of other LTL carriers. We are focused on the customer experience that our customers have. So our network design is really to deliver shipments on time, damage free and intact in the most efficient way, and we believe we have an efficient network that balances line haul miles with the use of our drivers, rail and purchase transportation. However, because freight handlers’ change and we continue to evaluate and optimize our network, without getting into specifics we really made several changes over the past year that have minimized transfers and reduced the number of entities moving throughout our network. These changes along with other initiatives have also improved reliability for our customers.
Q - David Humphrey: Todd Fowler of KeyBanc submitted his question. Please provide color around healthcare costs in the quarter. It seems as if this was a positive in first quarter results, but the sustainability was uncertain. What was the impact to second quarter, and is it more sustainable?
David Cobb: Yeah Todd, non-union healthcare costs have been a good story this year, being down compared to last year almost $4 million year-to-date on a consolidated basis. Most of that reduction occurred in the asset base segment and that occurred in the first quarter. The second quarter consolidated healthcare costs were down about $600,000 versus the prior year. In addition to our wellness initiatives and as a reminder, wellness is a core value for this. And as I mentioned earlier, we are benefiting from a new healthcare partner that was initiated in August of last year. So we will be challenged to continue to see reductions related to the new agreement as we move forward, but we do have in place additional programs designed to improve employee outcomes and lower cost.
David Humphrey: Okay, Todd also asked this question. Can you provide an update on the home delivery shipments? Is that still an area of growth or has that segment moderated?
A - David Cobb: Yeah, we are an entrusted partner for customers that require residential deliveries. We view these customers and shipments as a great opportunity, but one that requires us to continually advance our services and shipment charges in order to offer a superior customer experience the results in acceptable profit margins for our company. In the first half of 2017, as you pointed out we experience significant growth of shipments requiring residential delivery. With that tough comparison, residential shipments in the second quarter 2018 were down 18% versus second quarter of 2017.
David Humphrey: The next one is from Will Milby. Are you seeing a growing demand for more retail related shipments? And do you believe this is related to truckload overflow or maybe a secular shift in the LTL world?
Judy McReynolds: Thanks David, that's a good question that Will asked. Our retail customers are facing increasingly complex challenges. They are faced with requirements and demands, delivery windows for instance that are being driven by the end consumer, which is causing the time frame to get products to the store shelves or made available to consumers to be more difficult to accomplish. Retailers look to us for increased visibility and certainty for accomplishing their objectives, because the penalty for failure are extreme and will eat away at their margins if they're exposed to them. The access we have, the flexible and comprehensive capacity sources allows us to effectively serve these customers. I do believe our best is designed to better serve the needs of today's retailers, because of our combined asset base and Asset-Light service offerings, and the integration of these solutions that’s possible. The retail related shipments definitely provide a growth opportunity for us as we go forward.
David Humphrey: Okay, Chris Wetherbee asked this. From where are you seeing the sequential strength, growth from existing accounts, from new accounts or is it truckload spillover?
A - Judy McReynolds: Well, Chris’s question is also a good one. We’re seeing strength from both existing and new accounts, and as we typically do, we’re seeing sequential improvement in our U-Pack moving business, which is truckload rated. However, as we look at our volume truckload business, it's really down sequentially from first quarter to second quarter, but that's typical because we utilize more of those volume shipments in our seasonally weak period, so thanks.
David Humphrey: Okay. Next Will Milby asked, what are your thoughts on this cycle and your view on its longevity? Investors continue to fear the peak, but our best just seems to be getting started with solid performance on pricing and growing weight per shipment.
Judy McReynolds: Many of the economic indicators that we’re following are still rising. As indicated by PMI, which is nearly a point and a half in each of the last few months, the last time the PMI was this strong for this long was in 2004 and 2005. Also the industrial production index has been on an upward trend since really late 2015. June’s value was an all-time high. A goods producing job and the inventory to sales ratio which are both showing positive trends are other important economic indicators for us, because they correlate favorably with the LCL market. So David, we’re seeing many signs of strength from the economic indicators that we follow.
David Humphrey: Okay, next Dave Ross asked about the effects of the new trade tariffs on our business. Dave, I’ll take that one. We've heard some discussion about this from our customers, but it's really not material at this point to our business. Okay, and next Dave also asked this. How has the labor market evolved over the last few quarters? Is it still tough to find qualified drivers?
A - Judy McReynolds: That’s a good question that Dave asked and certainly relevant in this environment. And we have had some challenges finding drivers in certain locations; however, we have a number of programs to add drivers which include our Teamster military assistance programs, the ABF driver development program, and our Dock to Driver program. As a result of these programs, we have a solid pipeline of potential drivers. We also have initiatives to recruit and retain owner operators in our Asset-Light business and our efforts are gradually improving our numbers.
David Humphrey: Okay, Will Milby asked this one. How have efforts to push price on Asset-Light customers to overcome higher purchased transportation costs progressed.
Judy McReynolds: Well, you know certainly most customers are understanding and are aware that there is extremely tight supply in the truck load and expedite areas and that spot prices have risen dramatically to enable securement of limited capacity. We definitely have to be competitive to secure loads and what's interesting is we find that pricing is sometimes secondary to our customers concern over capacity.
David Humphrey: Okay, Chris Wetherbee asked this. Asset life EBIT comps gets harder in the second half. Do you think full year operating profit growth is possible in this segment? And also Jason Seidl of Cowen asked, could you expand on the increased costs for technology and personnel. Is this something we should expect to pay off in the future that hurt margins in the short term. Judy, would you like to elaborate on that?
Judy McReynolds: Sure. You know I certainly agree that the comparisons are more difficult in the second half, but since we don't really provide guidance let me say that we're very focused on meeting our growth objectives in these services by the good execution with our best sales force. We believe that our customers need our Asset-Light services, especially in this capacity constrained environment. Also, we are working on a number of initiatives that are really important for us, especially in our Asset-Light service line and one of those initiatives relate to analytics that we're applying to our pricing decisions which guides our employees to make better decisions based on several factors and that includes our best capacity options, both internal and external. This should result in improved success rates, enabling shipment growth and net revenue improvement. We're also making technology investments that allow our fulfillment team’s greater visibility and capacity options that are effective for customers and for us. Another area we're investing in is owner operator and carrier recruiting as I previously mentioned, and we're seeing some gradual improvement there. And then finally, our customers are responding positively to our managed solutions offerings as well. Our customers are really focused on effective and efficient supply chain solutions and increasingly they're bringing us in and we’re developing those solutions for them and then executing them once they are in place, and as a result we are really seeing some good opportunities for growth in that arena.
David Humphrey: Matt Alcott of Cowen asked this. Why are the asset like shipment counts down? Are you losing market share?
Judy McReynolds: Well, during the second quarter our asset like team was impacted by the challenges of balancing yield per shipment with the ability to cover loads and because of very tight capacity in the market, it has been difficult to get the truck’s needed to grow our asset like shipment count. So changes in our asset like customer mix also played a role as they resulted in reductions in total shipments that we received from some customers, and so you know when you look at what's happening there, it really is kind of the result of a challenging environment that stems from this high capacity.
David Humphrey: Alright, Brad Delco of Stephens asked why mid quarter updates had revenue for hundredweight up about 11% in April and May, but the quarter ended at 9.4%. What caused the difference in performance relative to April and May information that was provided during those updates?
A - David Cobb: Yeah, I appreciate the clarifying question from Brad. We intimated a general rate increase on April 16 of this year and ended on May 22 of last year. So the comparison to the GRI in late May 2017, it was really the primary reason that our full quarter revenue per hundredweight measure was different than our mid quarter update.
David Humphrey: Okay, this one is from Chris Wetherbee. Have you completed the process of re-pricing underperforming accounts?
David Cobb: Yeah, you know our yield and sales teams have done some remarkable work benefiting from a strong environment. We lacked the prior year implementation of the CNC space-based pricing this month. While we have a process of constantly reviewing the account performance, we are mostly finished with the pricing adjustments that were needed. So we believe we're positioned to grow this account and take on new business in a more profitable fashion.
David Humphrey: Matt Brooklier of Buckingham asked this. ArcBest generated very healthy yield grow during the second quarter given all the processing initiatives by management. This is clearly paying off given breaks directionally improving OR, but can management remind us of the timing around when we lapped last year's yield initiatives that have contributed to meaningful process improvement year-over-year.
David Cobb: Yeah, I agree with Matt, and just as a reminder, our pricing initiatives began in the spring if 2017. We implemented the space-based pricing program on August 1, 2017.
Q - David Humphrey: Alright, so last night we had a number of questions around our processing expectations for the second half of the year, including a percentage of our contract differed processing agreements that are anticipated to be reprised. David please provide some color to address all those questions.
David Cobb: Okay, as I mentioned earlier, we secured an average 4.5% increase on asset based customer contract renewals and the differed pricing agreements that were negotiated during the quarter. About a little more than a half of our contractual and different pricing agreements are reprised in the second half of the year. We continue to experience sequential improvement due to price, fuel surcharge increases and profile factors. Though we don't give guidance, we do acknowledge that the comparisons are tougher to overcome in the second half of the year. As we mentioned, we are largely finished with our intentional price actions, but we do need to -- still need to address some space-based pricing with some customers. But overall we believe that the pricing environment is still strong.
David Humphrey: Todd Fowler asked for a CapEx update for 2018 and wondered if we had an update as well or your initial thoughts on 2019 CapEx.
David Cobb: Right, that's a good reminder for everyone here. Our estimate for 2018, total net capital expenditures including equipment expected to be financed hasn't changed from the range of $155 million to $165 million that we provided earlier in the year. As a reminder, this includes revenue equipment purchases of approximately $100 million, which is primarily for our asset based operation. And as we did last year, our new 2018 road tractors will be equipped with enhanced safety technology, including the lane departure warning, collision mitigation and forward facing capture, video capture. The timing of our tractor delivers though was behind the prior year schedule, but we do expect the majority of the CapEx to be completed in the third quarter. And regarding to 2019, we anticipate that we’ll provide our 2019 CapEx plans along with our fourth quarter results in early 2019.
David Humphrey: Okay, also we received several questions about sequential OR comparisons. While we don't provide guidance, in his earlier remarks David Cobb described a number of factors that should be considered, that might cause the current year sequential comparisons to be different from the historical patterns. Moving along now, Brad Delco and Matt Brooklier both ask about the profit sharing bonus of the new labor agreement and its potential for impacting 2018.
David Cobb: Yeah, another clarifying question, and so the profit sharing bonus is available in the new contracts upon the asset base segments achievements annual operating ratios of 96 or better for any full calendar year during the agreement. So that provision pertains to years 2019 through 2022.
David Humphrey : Okay, Brad Delco also asked this one. Looking longer term, how does ArcBest get its union benefit costs more in-line with its competitors of both health and welfare?
Judy McReynolds: Well Brad, you know with an average annual increase of 2% over the life of the contract and that's in total for our contracts wage and benefits, you know we believe that our total increases will be less than most competitors, and that will be over the next 5 years. But also we're going to continue to work to improve efficiencies of our operations through technologies we deployed such as our handheld, our dock tablets and our street and line-haul optimization systems and efforts.
David Humphrey : Dave Ross sent this one in. What were you most proud of in the recent Teamsters contract and what were you most disappointed with regarding the contract?
Judy McReynolds: Well as I did earlier, you know I want to congratulate the team for our efforts you know to finalize this process and you know certainly our goal was to achieve a contract that was fair to employees and affordable for the company and we did that. But our Teamsters employees are the best compensated in the industry in terms of wages and benefits including health and pension. This agreement provides for stability of our employees and for our customers at a time when the logistics industry continues to undergo rapid change. Something that we would have liked to have accomplished is a really a more market based and reliable retirement benefit outcome for our employees.
David Humphrey : Next, Matt Brooklier wondered about the potential for a lower focus on yield growth during the second half of 2118 and more focus on tonnage.
David Cobb: Although we have largely completed our intentional pricing actions, we continue to provide value for our customers and find that they are willing to pay for the high level of services we provide and to grow with us. So the way I would answer that question is that we intend to continue to pursue profitable growth opportunities with both new customers, as well as our existing customers and we believe the environment is good for us to be able to accomplish that.
David Humphrey : Okay Todd Fowler asked this, could you talk strategically around your approach to growing tonnage in the asset based business? It seemed like it declined for a period and now is starting to grow again. Is this is a reflection of seeing the benefits of your pricing actions or some other initiative?
Judy McReynolds: Well it is certainly the benefits of our pricing actions, but we also have a fully engaged sales force that is very focused on delivering appropriate solutions to our customers and building strong data driven relationships, so that we can respond to their changing needs and their challenges, and the investments that we make in customers, we believe pay off. We do feel like we have favorably affected are freight mix and that we are better positioned to grow profitably from here as a result of our yield actions.
David Humphrey : Okay, and the last question that we received and we’ll cover that now, it also comes from Todd Fowler who wondered what strategic areas of the business are you looking to invest in from the growth capital or M&A standpoint.
Judy McReynolds: Well from an M&A standpoint, although we consistently review acquisition targets, we really see that our greatest opportunities for growth lie in our existing services. Our research shows that our customers desire the solutions that we provide and it's increasingly important that we integrate the solution for them in a seamless way. So although when we look at acquisition targets we find the ones that are most interesting to us, those that would advance the technology that we're deploying in our business allowing us greater visibility for customers or opportunities I'd say to scale our business. We are focused on the organic opportunities that we have. But again, we are aware of those acquisition opportunities that could do those things that I mentioned.
David Humphrey : Okay. Well, we kind of took a new approach this time. I think it went really well. We appreciate the corporation of everybody on working with us on that and submitting questions yesterday. I’m pleased that we were able to respond to all of the questions that we received. We thank you for joining us this morning and we appreciate your interest in ArcBest. This concludes our call.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Thank you for your participation. You may now disconnect your lines.